Operator: Good morning, and welcome to the Iridium Communications Inc. Fourth Quarter 2025 Earnings Conference Call. All participants will be in. After today's presentation, to withdraw your question, please press star then 2. Please note this event is being recorded. I would now like to turn the conference over to Kenneth Levy, Vice President of Investor Relations. Please go ahead.
Kenneth Levy: Thanks, Cindy. Good morning, and welcome to Iridium Communications Inc.'s Fourth Quarter 2025 earnings call. Joining me on today's call are our CEO, Matthew Desch and our CFO, Vincent J. O'Neill. Today's call will begin with a discussion of our fourth quarter results followed by Q&A. I trust you have had the opportunity to review this morning's earnings release, which is available on the Investor Relations section of Iridium Communications Inc.'s website. Before I turn things over to Matthew Desch, I would like to caution all participants that our call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are statements that are not historical fact and include statements about our future expectations, plans, and prospects. Such forward-looking statements are based upon our current beliefs and expectations, and are subject to risks which could cause actual results to differ from forward-looking statements. Such risks are more fully discussed in our filings with the Securities and Exchange Commission; our remarks today should be considered in light of such risks. Any forward-looking statements represent our views only as of today, and while we may elect to update forward-looking statements at some point in the future, we specifically disclaim any obligation to do so even if our views or expectations change. During the call, we will also be referring to certain non-GAAP financial measures including operational EBITDA, pro forma free cash flow, free cash flow yield, and free cash flow conversion. These non-GAAP financial measures are not prepared in accordance with generally accepted accounting principles. Please refer to today's earnings release and the Investor Relations section of our website for further explanation of these non-GAAP financial measures as well as a reconciliation to the most directly comparable GAAP measures. With that, let me turn things over to Matthew Desch. Thanks, Ken. As you saw in our press release this morning, we achieved our 2025 guidance. Service revenue came in on target, and we grew OIBDA 5% for the full year. In addition, pro forma free cash flow was almost $300,000,000. Our business remains robust, and we feel confident in our ability to continue generating
Matthew Desch: significant free cash flow as we transform our business and add new services. Free cash flow continues to differentiate us from others in the satellite industry. It is allowing us to invest in finding ways to grow our capabilities while also making good on our commitment to return capital to shareholders through a growing dividend. Our market leadership and growth are largely due to our highly reliable services, our valuable L-band spectrum, and the extensive and growing ecosystem of technology and distribution partners who count on our network for their many unique applications. In the third quarter, I shared my thoughts on the changes taking place in the satellite sector and how recent spectrum deals are likely to hasten the pace of more global direct-to-cell services. These new consumer connections may eventually encroach on traditional MSS services. This will take time, but providers will likely be ready with service even if not truly global over the next few years. These developments have spotlighted the importance and scarcity of L- and S-band spectrum, which is widely recognized as the optimal spectrum for connecting to mobile consumer devices of all types. We know this firsthand because over the last 25 years, we have developed a strong mobile business connecting over 2,500,000 subscribers with more than 500 business partners in their applications. In 2026, we will add more partners, new services, and additional ways of connecting them. Demand for our solutions remains strong, especially among enterprise and government customers. Further, the pipeline of new partners looking to integrate Iridium Communications Inc.'s IoT, PNT, and safety services continues to expand. We added about 40 new partners in 2025; engagement with them remains robust as we move into 2026. Customers continue to seek out the highest quality and most efficient connections for their mobile needs and our brand remains the gold standard for delivering these. As we look forward, we are investing to further differentiate our offerings and have made strong progress over the eighteen months on new technology platforms that we can leverage to enter new markets and expand our business. This year, Iridium Communications Inc. will introduce a number of new services and products that we believe represent more than $200,000,000 worth of revenue opportunity by the end of the decade. Among these, new Iridium Certus GMDSS companion terminals in maritime that better complement K-band broadband terminals, a new ASIC for Iridium PNT, which we expect to reduce costs and time-to-market for expanding assured position, navigation and timing solutions, and Iridium NTN Direct, which will bring our global narrowband IoT capabilities to standards-based terrestrial devices. We will also be introducing an exciting new IoT device soon to our portfolio that sets new standards for size, cost, and flexibility for our customers and gives our partner base a powerful new platform to build on for the future. All of these are the result of strong collaboration with new and long-time partners and exemplify the enduring utility of our global network. Even as we execute on these new products to drive growth, it is clear that our spectrum, in and of itself, has great value. In light of industry developments in recent months and the excitement around the prospects of D2D, MSS spectrum, especially clean, globally coordinated spectrum, has increased in value. We will continuously consider our spectrum assets with a view of maximizing shareholder value. Therefore, we will not rule out future business alliances that leverage our unique spectrum real estate particularly if they offer incremental value to shareholders. Valuations in the satellite industry are increasingly being driven by future narratives rather than by current operating results. As we focus on new growth areas, we recognize the need to broaden, and in some respects, more clearly articulate our growth narrative. So I want to elaborate on some of the business themes we are pursuing as we believe we are well positioned with the right partners and network resources to have great impact. For competitive reasons, our discussion of some of these themes will be at high level for now. But I hope this commentary will give you an idea of where we are heading. In no particular order, there are four key areas that Iridium Communications Inc. is pursuing to expand our addressable markets and drive faster growth for our company. These include narrowband IoT expansion, building on our unique PNT lead, greater national security work with the U.S. government, and disrupting the status quo in the aviation industry. Let me speak to each of these.
Kenneth Levy: First,
Matthew Desch: there is no question that Iridium Communications Inc. is already the undisputed leader in satellite IoT. We have the largest customer and partner base in the industry, and the broadest array of solutions. In 2026, we will be introducing the first truly global standards-based service with Iridium NTN Direct. Development is progressing well, and we are processing end-to-end message over our network as we ready the service for commercial availability. We are experiencing strong demand from MNOs to include Iridium Communications Inc. in their roaming plans, and we believe the industry is excited to utilize our new offering. While we expect competing IoT services to eventually be available from other satellite providers, Iridium Communications Inc. will be able to maintain our leadership and see our subscriber count grow as the market for standards-based solutions expands and D2D satellite connectivity becomes more common to connect assets and people around the world. Our industrial-grade reliability, efficiency, and partner base are key differentiators of our service offering, and these should continue to expand as demand for IoT grows in future. One key area we are particularly excited about and think Iridium Communications Inc. is positioned to lead is in the autonomy sector. Delivery and service UAVs, USVs, and other autonomous systems enabled by AI and remote beyond-line-of-sight operations are on track to become mainstream applications. This emerging industry segment aligns well with Iridium Communications Inc.'s capabilities and deep customer relationships. Another opportunity we see for long-term growth is our satellite-based assured PNT, which is an outgrowth from our acquisition of Satelles in 2024.
Kenneth Levy: ENT,
Matthew Desch: services are a multibillion dollar market and expected to generate at least $100,000,000 in annual revenue for Iridium Communications Inc. by the end of the decade. We have successfully introduced the service in Europe and Asia to address the growing threat of spoofing and jamming in areas of geopolitical conflict. There is a compelling opportunity in navigation systems where Iridium PNT can provide a more assured connection for maritime vessels, autonomous systems, and for protecting aviation. We are seeing a lot of traction from civil and commercial organizations that seek to fortify their GPS-dependent systems, which are vulnerable to attacks. These organizations often run high-value mission-critical applications like those employed by capital markets, communication networks, data centers, energy grids, and other critical infrastructure. Iridium Communications Inc.'s PNT signal is a thousand times stronger than GPS and can penetrate buildings to provide an accurate in-building time source to protect vulnerable hardware and applications. We have already cultivated a number of large customer relationships and expect adoption of Iridium PNT will expand with the introduction of our new ASIC this year, for which requests to participate in our beta program far exceeded our expectations. With this chip, we believe we are at least five years ahead of any other viable global PNT solution. And this hardware will lower integration costs and help to standardize our solution in industry. Ultimately, though, we are working towards our PNT services being directly embedded in smartphone, and other consumer device processors, expanding the impact of our service far beyond our current expectations. We now believe that our PNT service can also function as a unique platform to enhance cybersecurity and fortify data networks. We are currently developing a unique quantum-safe cybersecurity service using our PNT signal that can improve identity management and provide authentication for high-value transactions, tapping into the $20,000,000,000 identity verification industry and creating potentially significant new revenue stream for Iridium Communications Inc. Even capturing a small portion of this growing market would be meaningful to a company of our size. The third theme for investment and growth is national security. As government programs shift from internally developed proprietary solutions to leverage a broader array of commercial solutions, we see an attractive opportunity for Iridium Communications Inc. to increase the value we offer the U.S. government particularly as it invests in new space capabilities. For more than two decades, we have collaborated with the U.S. government to set the standard for network reliability and interoperability and directly empower service members around the globe. We believe Iridium Communications Inc.'s constellation and experience presents opportunities to deepen our relationship with the USG. We have secured more than $1,000,000,000 of awards over the last five years, including building and operating the ground systems for the Space Development Agency's new network as part of the government's future space architecture. Through this, Iridium Communications Inc. has shown its ability to successfully manage mission-critical programs and deliver innovative commercial solutions in support of the government's national security priorities. You probably also saw the announcement last month that confirms Iridium Communications Inc.'s involvement with the Missile Defense Agency's Shield contract most of you know as Golden Dome. Being selected for this initiative is a powerful validation that Iridium Communications Inc. continues to serve as a trusted, mission-critical service provider in the national security space. We are excited to support this important long-term initiative and are already executing on elements of this program. Between the U.S. government's numerous satellite service contracts, and its new Golden Dome initiative, the addressable market within the national security space represents a multibillion dollar opportunity. We are excited about the attractive opportunities we see for Iridium Communications Inc. to grow its involvement and business with the U.S. government. A fourth growth theme for us will be expanding our share of the aviation cockpit data communication market. Iridium Communications Inc. touches aviation in a number of ways today through our involvement in cockpit safety communications by providing controller-to-pilot data links and other cockpit communications on over 60,000 aircraft around the world, our work in the evolving standards for uncrewed aerial systems that will be a big market in the coming years, and our involvement in satellite ADS-B navigation and surveillance services through Aireon, our joint venture with a number of air navigation service providers, known as ANSPs. We believe we can build on these platforms to expand our footprint in the aviation safety market, particularly as it evolves from sending safety and operational data over ground-based VHF towers with satellite as a backup, to sending all data more cost effectively and efficiently over satellite. With the expanding aircraft fleet and the airlines' expanding needs for real-time information from those fleets, we believe we can offer a compelling value proposition using our network today and then expand in the future with space-based VHF in a follow-on network. Our long-term relationship with Aireon is a key piece of that strategy. They are a growth engine for us into the future, especially as they continue to expand their air traffic surveillance services to more ANSPs and market their unique and powerful dataset to more industry data applications. Together with some additional investment, we think our work with Aireon could serve a billion-dollar-plus addressable market leveraging our unique fully global network. So Iridium Communications Inc. continues to occupy a strong and defensible position in the satellite industry. Our competitive advantage comes from focusing on specialized products and services for which high reliability remains a key point of differentiation. The growth themes I shared with you today represent incredible opportunities for our company, and I look forward to updating as we invest in, execute, and capitalize on each in the months ahead. We strongly believe the initiatives we are pursuing along with our core businesses will enable us to drive incremental growth and cash flow generation well into the future and unlock value for our shareholders. As Vincent J. O'Neill will explain, we will continue our growth trajectory in 2026 albeit at a slower pace than in the past, as we position ourselves for additional revenue growth and long-term value creation. At the same time, we will continue to generate meaningful cash flows to invest, delever, and return capital to shareholders through a growing dividend. Through it all, we will not lose sight of the needs of our customers or the rapidly changing marketplace that we are uniquely well positioned to serve. With that, I will now turn the call over to Vincent J. O'Neill to discuss our quarterly results and outlook. Vince? Thanks, Matt. Good morning, everyone. With my remarks today, I would like to recap
Vincent J. O'Neill: Iridium Communications Inc.'s full-year results for 2025 and provide color on trends we saw in the fourth quarter, some of which continue into the new year. I will also walk through the 2026 outlook we released this morning and review Iridium Communications Inc.'s liquidity and capital positions. Service revenue growth was in line with our recent guide, finishing up 3% in 2025. Full-year operational EBITDA came in within our guidance range at $495,300,000, up 5% year over year. OIBDA was impacted by a $3,000,000 inventory charge taken in the fourth quarter. Our conversion of OIBDA to cash flow remained strong at 60%, resulting in pro forma free cash flow of $296,000,000 in 2025. In the fourth quarter, total revenue was $212,900,000. This reflected year-over-year growth in service revenue offset by lower subscriber equipment sales during the quarter. Operational EBITDA was $115,300,000 in the quarter. Within our commercial business, service revenue was up 3% from a year earlier. Contributing to this growth was a 4% rise in voice and data revenue, which benefited from the price increase that commenced over the summer. Commercial IoT revenue grew 11% in the fourth quarter. While Matt noted that Iridium Communications Inc. added several new partners in 2025, we also certified more than 30 new IoT products during the year. The combination of new business relationships and new IoT applications coming to market is expected to broaden our sales funnel in the years ahead, and will allow Iridium Communications Inc. satellite technology to reach a growing number of industries and end users. In broadband, we reported revenue of $12,200,000 in the quarter. This 9% decline from the prior year period continued to reflect the increasing prevalence of Iridium Communications Inc.'s use in lower-priced companion plans. While the pace of migration from primary to backup is slowing, this trend will continue to create an ARPU headwind in 2026. For the full year, broadband revenue was down 10%, which was largely in line with our expectations. In all, commercial subscribers grew 4% in the fourth quarter. Hosted payloads and other data services was $13,400,000 for the quarter, up 13% from the year-ago period. As I previewed on our third quarter call, a delay in PNT deployment by an existing customer weighed on Q4 growth. Apart from this contract delay, we have continued to see strong inbound interest in Iridium Communications Inc.'s assured PNT services and continue to see momentum for this business to deliver $100,000,000 in annual service revenue by the end of the decade. Within our government business, revenue rose to $27,600,000 in the fourth quarter reflecting the final step-up in our EMSS contracts with the U.S. Government. As I noted earlier, revenue from subscriber equipment, which tends to be episodic in nature, came in at $17,000,000 in the fourth quarter. While this was down year over year, this reflects our ongoing outlook for normalized equipment sales of $80,000,000 to $90,000,000 on an annual basis. Engineering and support revenue continues to be strong at $37,100,000. We achieved some significant milestones in 2025 related to our work with the SDA, and our pipeline with the USG remains strong as we look ahead into 2026. Before moving to our 2026 outlook, I want to highlight a change we have made in the new year related to our management incentive compensation. We have decided starting in 2026, Iridium Communications Inc. will pay annual incentive compensation fully in cash, rather than our prior practice of using part cash and part equity. The impact of this change reduces equity issuance by approximately one percentage point on a recurring go-forward basis, and aligns more closely with our shareholders' interests. This does affect the calculation of OIBDA, and makes year-over-year comparisons difficult until they normalize in 2027. While the change will have no impact on GAAP financials, it will have a negative impact of $17,000,000 on 2026 OIBDA as compared to 2025. So for our 2026 outlook, we are guiding service revenue growth to be flat to up 2% for the year. Absent the change to incentive compensation I noted, 2026 OIBDA would have grown to a range of $497,000,000 to $507,000,000. In light of our change to incentive compensation, we expect 2026 OIBDA in a range between $480,000,000 and $490,000,000. Other items pertinent to our outlook include our forecast for commercial voice and data to grow in 2026 as a result of tailwinds provided by targeted price actions we implemented back in July. For the full year, we expect voice and data to be a low single-digit grower. In IoT, we are excited about a number of new products being released this year that continue to support our position as the premier satellite IoT provider. Over the last two years, we have operated under a fixed-price contract with a large IoT partner. With the renewal of that contract, as well as continued subscriber growth in our other areas, overall, we expect mid single-digit growth in IoT this year. More broadly, we are encouraged by the addition of many new IoT partners to our ecosystem over the last twelve months, including many focused on Iridium NTN Direct. With our new standards-based offering set to launch in the second half of the year, we remain optimistic about NTN and the access to new industry sectors it will deliver over time, supporting IoT growth overall as we address new markets. Within broadband, we continue to forecast ARPU pressure as primary-to-companion conversion continues and maritime customers select lower cost backup plans.
Matthew Desch: However,
Vincent J. O'Neill: the availability of new Iridium Certus GMDSS safety terminals this year will help to mitigate some of this pressure, especially with these new terminals now being introduced in the APAC region. We believe this service provides us with a market opportunity to replace legacy Inmarsat C terminals and will serve as a long-term mitigant to revenue pressure. Accordingly, while we anticipate a decline in broadband revenue this year, we expect it to moderate from 2025's rate. PNT will, again, be a meaningful source of growth to hosted payload and other data services over time. As I mentioned earlier, we are supporting the implementation of a PNT program for a large customer. While the timing of this deployment is not entirely within our control, we feel good about the customer's ability to make strong progress in 2026 and begin leveraging Iridium Communications Inc.'s PNT solutions. With the frequency of jamming and spoofing
Kenneth Levy: We are modeling a
Vincent J. O'Neill: and $10,500,000 of EMSS revenue this year. This outlook includes our expectations that the government will exercise their six-month option to extend the EMSS contract at current rates through March 2027. Supporting our discussions of a favorable contract renewal, was the U.S. Space Force's award of a five-year ground contract which we announced at the end of the year and runs through 2030 to enhance security services and support ongoing EMSS capabilities. We expect that revenue from equipment sales will largely be in line with 2025, even as the mix shifts somewhat from handsets to IoT products. In engineering and support, we expect revenue will continue to grow reflecting our strong pipeline of business activities and expanding relationship with the U.S. Government. As Matt mentioned, growth on national security initiatives particularly as they continue to evolve their services to commercial operators, and build Golden Dome. On the expense side of the equation, we will continue to support robust new product and service development. R&D and depreciation expense should both remain in line with 2025's level. You will note that SG&A declined significantly in 2025, in large part due to decreases in equity compensation costs that we do not expect to recur in 2026. Accordingly, we expect to return to more normalized equity level in 2026, which will cause SG&A to be higher at a double-digit rate. We expect capital expenditures will be consistent with 2025 as we support the rollout of NTN and investment in the new initiatives Matt referenced. Based on forward curve projections, interest expense is expected to be down year over year. I would also note the expiration of our $1,000,000,000 interest hedge instrument at the November. It is our intention to have a new instrument in place before the termination of the existing hedge. As we noted in October, Iridium Communications Inc. expects to pay cash tax of less than $10,000,000 this year and next. The improvement relates to tax legislation passed in 2025. We anticipate being a taxpayer at the full rate in 2029. Finally, on leverage, we closed 2025 with net leverage at 3.4 times OIBDA and continue to expect to delever from here to about three times by year end. Our long-term goal is to delever below two times, which we believe will naturally occur as we continue to grow our EBITDA and generate cash. I hope this additional color is helpful in allowing you to track our progress this year. Moving on to our balance sheet. As of December 2025, Iridium Communications Inc. had cash and cash equivalents balance of approximately $96,500,000. Iridium Communications Inc. repaid all borrowings under its revolving facility in the fourth quarter, and had no outstanding borrowings under the $100,000,000 revolving facility as of December 2025. In 2025, Iridium Communications Inc. paid a total of $62,900,000 through quarterly dividend payments to shareholders and ended the year with a dividend yield of 3.3%. Looking to 2026, we expect our board to again approve an increase in the dividend. Prior year increases have averaged 5% annually since the board declared Iridium Communications Inc.'s first dividend in 2023. Continued growth in Iridium Communications Inc.'s dividend reflects management's confidence in the company's business opportunities and prospects for continued strong free cash flow. We remain committed to an active and growing dividend program as it augments long-term shareholder returns. With the pause in our share repurchase program, Iridium Communications Inc. did not repurchase any shares during the fourth quarter. However, for full-year 2025, we retired approximately 6,800,000 shares of common stock at an average price of $27.07. Capital expenditures in the fourth quarter were $33,500,000. For the full year, CapEx was $100,300,000 inclusive of $4,600,000 in capitalized interest. We expect 2026 capital investment levels to be similar to 2025 especially as we continue with the rollout of our NTN services. Turning to our pro forma free cash flow. If we use the midpoint of our 2026 OIBDA guidance and back off $82,000,000 in net interest pro forma for our current debt structure, approximately $90,000,000 in CapEx for this year, $6,000,000 in cash taxes, and adjust for $11,000,000 in working capital, inclusive of the appropriate hosted payload adjustment, we are projecting pro forma free cash flow of $318,000,000 for 2026. These metrics would represent a conversion rate of our EBITDA to free cash flow of 66% in 2026 and a yield of about 16%. This continues to support our outlook for free cash flow generation of $1,500,000,000 to $1,800,000,000 through 2030. We continue to believe that pro forma free cash flow is a good measure of our business strength. A more detailed description of each element of these calculations along with the reconciliation to GAAP measures, is available in a supplemental presentation under Events on our Investor Relations website. Iridium Communications Inc. continues to occupy a unique position in the satellite market. We have great assets, a valuable spectrum position, and a growing ecosystem of partners which will continue to support strong free cash flow and expand our business reach beyond traditional revenue streams. As Matt noted, we believe that Iridium Communications Inc.'s differentiation is not just a function of our actionable, real-time services, and true global coverage, but also reflects the quality of our L-band spectrum and the growing opportunities that our partner ecosystem continues to deliver. With that, I would like to turn the call over to the operator for Q&A.
Operator: We will now begin the question and answer session. If you are using a speakerphone, please pick up your handset before pressing the keys. To withdraw your question, at this time, we will pause momentarily to assemble our roster. The first question comes from Brent Penter of Raymond James. Go ahead please.
Kenneth Levy: I appreciate all the detail there. First, on the decision to make incentive compensation entirely in cash, can you just give us a little bit more detail on that? Us through that decision why you made the change. You mentioned
Brent Penter: believe it is in the best interest of shareholders. And is this something that you expect to be pretty permanent, or is it temporary?
Matthew Desch: Look. Every company really pays their incentive, you know, yearly bonus in cash. I would say we decided do not know how many years ago. Five, six years ago. Five, six years ago. That at the time, we wanted, you know, to more broadly kind of align employees with shareholders. And so we would, we would do a mix of cash and stock for yearly bonuses, but that really was not standard at the time. And now with our stock price the way it is and the use of equity really by putting that much equity into the bonus, it just did not make sense. So, you know, we were going to do it eventually, decided to do it now. I know it looks unusual, a little bit, so the year-over-year comparisons, you know, as you as you described 2025 to 2026 numbers, it looks like somehow we are not growing as a result of that, but it is just a a better use of, yeah, of our resources essentially, I think. Yeah.
Vincent J. O'Neill: And I would add to that, Brent, to Matt's point. You know, we think it aligns, you know, more closely with shareholder interest, especially as we, you know, just recently paused the buyback program. You know, I did note in my remarks that in terms of equity issuance, you know, it relates close to a percentage point of equity. So I think it is meaningful for shareholders. Then the other part of it, to Matt's point, is, you know, we think it aligns our our employee base as well with more industry norms. But I would also highlight while it changes our EBITDA, it does not have an impact on GAAP financial. So it is it is purely a a movement between GAAP and OIBDA.
Brent Penter: Okay.
Matthew Desch: Okay. Got it. And then you mentioned
Brent Penter: $200,000,000 of revenue by 2030 from these four growth areas. And so if I am understanding correctly, $100,000,000 of that, you still expect to come from PNT, I think would suggest a $100,000,000 from those other three areas NTN and IoT, national security, and aviation. Yep.
Matthew Desch: I you you me. I did not say $200,000,000 was the four. I mentioned that when I was talking about the new growth products that we are introducing this year. So we have, you know, we have, that is from Iridium NTN Direct, a new ASIC, a new IoT module. Those are just ongoing business-as-usual kind of stuff that I just wanted to give a number that sort of reflects our ongoing business and the investments we are making in R&D. Before we even talk about the growth themes, which could include additional investment, maybe acquisitions, maybe other areas here. And
Brent Penter: our our growth areas, there is a little bit of overlap in those two areas, but I just want to
Matthew Desch: to kinda put a number on even what we are doing today. So I am sorry if that was misconstrued or misunderstood there. It I do have, you know, I did want to really pull out these four major growth themes because I really do think, you know, we are it is really about rewriting our narrative, if you will, and it is important to kinda understand what those areas are that we think we have, you know, areas that we can differentiate versus others. You know, more than stem the tide of any kind of competitive pressures and and get back to even higher levels of growth than than the current areas of investment we are in that are still delivering a lot of revenue.
Operator: Okay.
Brent Penter: Appreciate the clarification. So then you think about those those four growth areas, how do you rank order them in in terms of the opportunity? And what role could could M&A play in those areas? You mentioned, you know, what what opportunities are out there? Terms of M&A?
Matthew Desch: Yeah. I mean, I am I am very careful about not, you know, pointing to to specific areas for M&A. You know, those four areas kind of vary in terms of timing and impact. You know, we are seeing a lot of potential right now in government national security missions because of Golden Dome and those kind of activities. Probably not a big M&A kinda area. It is areas where our expertise, our network, and other things can play.
Brent Penter: PNT could be, especially as we get into new areas.
Matthew Desch: Around identity management and some other areas we are seeing as a platform. IoT possibly, you know, could be an area of investment, though we have an awful lot going right now in terms of internal areas. In the device area and in terms of the service area in terms of, cellular management, there is there is possibilities of partnerships, if not acquisition. And then aviation safety, I would say, is the maybe the highest potential opportunity there. That is an area where we can provide a lot more services to airlines and ANSPs than we are doing today. I mentioned there is a big potential kind of ability to disrupt that market, we think. And certainly, our relationship with Aireon is a big piece of that.
Kenneth Levy: Okay. Great. And then
Brent Penter: on business alliances, maybe related to spectrum, it sounds like. Could you go more into what those could look like, what kind of partners those could involve, and how any sort of alliance might work in conjunction with your current businesses that obviously operate on that spectrum?
Matthew Desch: Well, I mean, obviously, you know, in my comments, I made it pretty clear that the mobile satellite services spectrum, that I have historically never really talked about our spectrum position because, you know, we were using it for internal services. You know, that environment has changed a lot in the last six months.
Kenneth Levy: You know,
Vincent J. O'Neill: given
Matthew Desch: given the investment that at least Starlink has made in spectrum, you know, we have seen an increase in lots of industry people talking to each other as they position themselves for this direct-to-cell or direct-to-device market. And we are seeing that activity. We are seeing opportunities. People who value our, you know, our existing business, our partners, our, you know, our cash flow, etcetera, but also value our unique L-band spectrum position. So I do not know that I can go into any more detail other than there is just a lot of discussions and and could go in a lot of different directions, potentially. But I think it is noteworthy that, you know, sort of the industry is is abuzz with discussion right now.
Operator: Yep.
Kenneth Levy: Okay.
Brent Penter: Thanks, guys.
Kenneth Levy: Thanks. See you then.
Operator: The next question comes from Xin Yu of Deutsche Bank. Go ahead please.
Brent Penter: Hey, good morning. Thank you for taking our questions.
Kenneth Levy: I wanted to take a step back. I know you mentioned just now there is quite a bit going in the industry, quite a quite a lot of buzz. One of those topics
Vincent J. O'Neill: recently has been space data centers. And I assume you are you do not
Edison Yu: intend to try to play necessarily a direct role in that, but just curious what are your views on kind of the viability of this kind of endeavor, the impact of the industry, and if you may play some sort of ancillary role in that.
Matthew Desch: Yeah. It is a hot, hot area right now. Discussion mainly because because of Starlink's announcements and some others who, you know, kind of it looks like a problem that can be solved in space. Solar powers and power in general of data centers is a big issue. There are massive technical challenges to overcome. You know? Data centers are complicated areas. Very difficult to protect assets in space. It looks like a, I mean, I am maybe been I have not been in the space industry forever, but I have been in long enough to that that is a really, really long-term opportunity at best. And I wonder if the all the discussion is not for other reasons than maybe maybe just because that is years away from being able to be successfully
Brent Penter: you know, driven.
Matthew Desch: Anyway, I could jump on that bandwagon to try to, you know, hitch our wagon to that for a valuation. But we are a really pragmatic company that focus on really delivering results and cash and growth. So I would rather kinda stick to the themes that I am currently around than to somehow address that one directly.
Edison Yu: Understood. Understood. Want to come back to to D2D. Can you just remind us what are sort of the next big milestones to look for, whether it is from operational deployment perspective, or from, you know, is it something we need to wait on on one of the partners? Just just setting up kind of this year or maybe next year, what to look out for.
Matthew Desch: Yeah. Well, obviously, we are in we are in the steps of introducing the product this year. You know, we are in testing. We are starting to have actually partners come in and experience it or, or be able to demonstrate it from space so they can see how well it performs in their applications and how it is going to look. You could see more chipset suppliers, you know, jumping on our bandwagon to enable our services in their chips. You could see more mobile network operators align with it, readying themselves to introduce it to their customers, you know,
Kenneth Levy: we
Matthew Desch: you know, I think that is going to be primary kind of drivers right now throughout the year. Obviously, this is more of a 2027, 2028 kind of thing in terms of revenues, but we are still excited about, you know, the potential it brings.
Edison Yu: And if I could just sneak in, Vince, maybe one thing on that. Financials. Can you give us any more maybe numbers, percentage points on on sort of the PNT contribution expected for for this year?
Vincent J. O'Neill: Yeah. We, well, for for 2026, we we have built in a view of PNT, Edison, that is that is incorporated in our flat to 2% growth. You know, as I noted in in in my remarks, we do think that if that there may be potential upside to to the guide there. We just think it is premature to include it in the outlook at this point.
Kenneth Levy: Great. Thank you. That is an area we are trying to
Matthew Desch: we are trying to be appropriate about. You know, the pipeline is growing. The opportunities are potentially quite large, but when they hit, as you can tell, we expected, we expected one to hit in fourth quarter that did not, and and it is kinda moving into this year. And and so think it is appropriate where we are we are at right now in terms of that, and we will just express the the upside of it there when when it happens.
Edison Yu: Great. Thank you. Thanks, Ed.
Operator: The next question comes from Colin Michael Canfield of Cantor. Go ahead please.
Edison Yu: Hey, thank you for the question.
Brent Penter: So maybe going back to the interested parties question,
Edison Yu: Matt, if you could just kind of talk about kind of the blend of people that you are talking to and how that is changed over the last six months.
Colin Michael Canfield: I think one of the headlines that we kind of seen over the last few quarters of earnings, is the, let us say, private evaluations and private efforts.
Kenneth Levy: And
Colin Michael Canfield: probably an accelerated element of angst from the folks who are not scaling. Right? Think of the headline of, like, OpenAI shopping Stoke Space over over winter break and this is where the concept of Blue, you know, trying to, I guess, redo Kuiper or put more Kuiper satellites or kind of, you know, go around it. So essentially, it is like increased angst, increased evaluation, and obviously a lot of different mix of people. So so maybe just talking through kind of how you characterize the blend of interested parties over the last six months and how that is changed.
Matthew Desch: Well, I do not want to go into specifics of about who. I think you know, those of us in the industry know the kind of people. The the excitement seems to be around, you know, supply and service direct-to-device on a more global basis. You know, that started a couple years ago on, you know, using terrestrial spectrum regionally. Did not really think that that would move the needle. It has not really, so far. But when when Starlink bought EchoStar's assets and and looked into buying MSS spectrum, you know, the interest was on in terms of if they are going to be a global player. AST really does not have global spectrum today. They they aligned with Legato, you know, to try to at least get North American. But, their their assets are regional otherwise. And then, you know, there there are speculation about others being involved in this. I know Equitas, the Viasat Ventures, sort of long-term, and nobody knows when that would happen. And that looks like more of a spectrum sort of condo, you know, situation. I do not know how serious that is. I mean, that is available to someone like us maybe down the road according to them, but that is many years away, and I do not think relevant. So there is not much other spectrum available. Obviously, a lot of people have speculated about Globalstar and where they might go and to whom. Once you get past them, there is not many other people with L- and S-band spectrum.
Vincent J. O'Neill: So
Matthew Desch: I think you can kind of read between the lines about that and and that might be and who might be interested.
Colin Michael Canfield: Got it. Got it. No. I appreciate the color. And then as we turn to kind of the, I guess, I was thinking like the catalyst path. Right? Like, the the the clear view of the management team is that the equity is undervalued. Given the the change in the stock-based comp and while the pausing of the repo, right, the dividends and kind of signaling that you expect SG&A to pick up this year on the basis of stock rerating higher. And so I guess the concept construct that we think of is what are the milestones or what are the key catalysts split between services as well as the government side of things, and and how do you expect those to kinda shape through the year?
Matthew Desch: Yeah. Look, think I think we have expressed this is a year of transition for us. You know, it is obviously, we have had a 25-year history of a little higher growth than this. I do not really think it is all about competition because we are seeing some of that around the edges. That is a longer-term thing we are planning for. And and I think we are appropriately positioning ourselves for right now, but I think the valuation that we will attract is what people believe about our long-term potential. Obviously, the initial sort of rerating of us was around a gut reaction that we could not compete against Starlink, long-term and that that was going to come into traditional areas and that we were going to be a company in decline. I think we have proven we are not that. We are actually still growing. Grew last year. We will grow this year. And think we will grow faster in the coming years. There will be we are expecting, you know, some headwinds maybe to increase over time, but we believe that we have the assets, the direction, the vision to be able to not
Brent Penter: just
Matthew Desch: overcome those headwinds, but actually grow again at a higher rate than we are today. So I think that is the bet. I think your your notes as you evaluate it, I think, you know, you can pick apart the fourth quarter or, you know, your expectations about what we said, what what you expected in the year, but it is really more about do you believe that Iridium Communications Inc. is a is a bet for the future? And we think we are. We have overcome far worse in our history, and I think we have the assets and the ability to do that. That is, I think, our key message.
Edison Yu: Got it.
Colin Michael Canfield: I appreciate the color, Matt. Thank you.
Operator: The next question comes from Timothy Kelly Horan of Oppenheimer. Go ahead please.
Colin Michael Canfield: Hi, guys. Thanks a lot. Just a couple of clarifications. So
Vincent J. O'Neill: your reported stock comp number should be down
Colin Michael Canfield: kind of in line with the SG&A increasing just to check that. And can you give us what the PNT revenue was in 2025 at this point?
Vincent J. O'Neill: So I would say, quickly on the the stock comp, Tim, on your question there. That is right. You would see you will see a roughly corresponding reduction in the stock comp and and it will show up in the reconciliation as we go through the year versus what you see in our EBITDA. Because as I said, it is effectively neutral to GAAP. And then on PNT, that shows up in hosted payload and other, but we do not we do not break that out.
Matthew Desch: Yeah. We do still plan, Tim, to do that, you know, someday in the future. It just is not big enough yet. And it may it may get there this year. We will see. But, you know, I think that is something we will we will we will be looking to do so we can track the $100,000,000 projection a little bit easily. We are just trying to get a sense. So it is still less than $10,000,000. I mean,
Colin Michael Canfield: trying to see incrementally, the $100,000,000 would be, you know, pretty important.
Matthew Desch: Yeah. No. It is it is it is more than that. But again, we are not breaking it out specifically.
Colin Michael Canfield: Got it. And I guess just on PNT, it seems like the opportunity is massive there and the need is to break like, right now. I mean, are especially with direct-to-device communications capabilities, are you starting to deploy on drones as I guess in specifically in war zones? I mean, would seem to be a perfect solution as opposed to have fiber running all over the land everywhere. But yeah. Are you are you deploying on, you know, currently in war zones?
Matthew Desch: Yeah. I mean, we we do know that we have been deployed in
Kenneth Levy: UAVs, and and that is a
Matthew Desch: an area where jamming and spoofing is a real problem. I think that could be a big growth area for us in the future. I think, you know, we we do see that this ASIC coming this year, I think, will really expand our opportunity. Great. It is really about how many device there is really a lot of solutions that have been produced, but we are still seeing, you know, people deploy 50 or 100. And we are looking for the thousands and tens of thousands, you know, kind of growth that would really, really drive. And, you know, that could happen this year, could happen next year. We definitely see the pipeline and the potential for it, in that regard.
Colin Michael Canfield: And will the new ASIC have enough bandwidth to navigate the drones, you, you know, in some form or or another, not just PNT. I mean, you know, can they use thermal imaging or
Brent Penter: imaging to help navigate? Would that be enough bandwidth?
Matthew Desch: So the the chip is really not about bandwidth. It is about picking up very powerfully
Edison Yu: a
Matthew Desch: a location signal that can be relied upon and trusted versus maybe a GPS or Galileo or other kind of GNSS which might still be in there. But we would easily be overwhelmed by, you know, by interference and and jamming. So it is it is really it is really not about doing communication. It is really more about providing an assured or alternate PNT signal to to the application and doing it really with very low power, with very low real estate, with very low cost. And then as I said, we are starting to have discussions with people about integrating really the software in that chip even into other processors that may be in consumer devices or other applications, maybe even in phones some days. So that you can get a pretty accurate position inside buildings where GPS does not operate and you would not have maybe other kind of augmentation signals. Or you could get something to protect that signal in in important applications.
Brent Penter: And is but it it
Colin Michael Canfield: I mean, how hard would it be to block your signal or spoof it? Like, the technology is obviously there to do it, but how much harder is it than
Operator: GPS?
Matthew Desch: Well, any signal can be jammed, but you would have to have a giant power source very close by. You know? And it makes it so it is more difficult. No. Nothing is completely protectable. You could you could block out every communication, you know, with enough power, but you need large trucks, you know, of stuff close by. And that that is not, you know, we are we are looking to protect against
Colin Michael Canfield: Yeah.
Vincent J. O'Neill: We say it is a thousand times more difficult, basically, to to spoof the k.
Colin Michael Canfield: Very helpful. And then the spectrum, I mean,
Brent Penter: is there a way do do you think it is easier for one to share it with another company, for one company to control all of it to increase the utilization? And I guess,
Colin Michael Canfield: you know, the key question on the spectrum is, you know, what is the utilization now versus what it what it could be? Either through a partnership or, let us say, a combined entity?
Matthew Desch: Yeah. I mean, there is a lot of different approaches there. And and would be interested in the ones that had most value to shareholders. So that is about all I could say.
Edison Yu: Got it. Thanks, guys.
Matthew Desch: Okay. Thanks, Tim.
Operator: The next question comes from Hamed Khorsand of BWS. Go ahead please.
Vincent J. O'Neill: Hi. Good morning. Could you just elaborate on the
Edison Yu: IoT
Kenneth Levy: partner you resigned the contract with and provide any details that you can?
Matthew Desch: Well, I think we have been talking over the last couple quarters about the part of the unusual nature and sort of the of our IoT results in 2025 were due to a large IoT customer of, and the fact that that they are changing approach with their customers kind of led to a lot of churn in subscribers, etcetera. That was a multiyear contract. We we renewed that contract. There was growth in that contract, and that is reflected in our results
Kenneth Levy: year.
Matthew Desch: So I think that is
Edison Yu: I think that is at least
Matthew Desch: tied together what we said in the past with with where we are now.
Kenneth Levy: Okay. And then as far as the terminal goes, you were talking about the terminals
Brent Penter: had
Vincent J. O'Neill: declined in the equipment sales.
Greg Mesniaeff: When does that pick up? And is that more to do with IoT sales, or is that going to be terminals actually going into ships and airplanes that picks up in sales?
Matthew Desch: I am not exactly sure what you were referring to. I think maybe actually, from an equipment perspective, you know, we we see unit growth. There is a lot of mix changes. Our our equipment overall is kinda consistent year over year right now in terms of expectations for this year versus last year. You we might have been referring to some comments we made about maritime terminals where we are actually expecting a number of new products this year that makes us even more competitive in the companion ability with Ka and Ku-band. That has been an area where, as you can see, broadband has been declining a little bit for us. It has been a headwind. We think that that is going to mitigate here pretty soon because of all the the solutions we have and the opportunity ahead. You know, because Inmarsat, their Inmarsat C is coming end of life. A lot of ship owners have to change those terminals out. We really have the best solution that serves more needs, more globally than anything. And with all these products in the market, we think that that that will provide an impetus for, you know, for getting kinda growth in terminals there again. So maybe that is what you were referring to.
Greg Mesniaeff: Okay. Thank you for the clarity.
Operator: The next question comes from Christopher David Quilty of Quilty Space. Go ahead,
Edison Yu: Thanks.
Brent Penter: Matt, it is been years since they have reported the numbers publicly, but do you have any idea how many Inmarsat C terminals might be out there?
Matthew Desch: It is over 100,000. Yeah. Yeah. But it is it is it is quite a, yeah, we we it is quite a few. We we estimate, Chris, 130,000 to 140,000. That is
Greg Mesniaeff: that is our calc.
Brent Penter: Number. Switching gears, the discussion today about the alt PNT
Greg Mesniaeff: chip, that is the same chip that you originally unveiled, like, back in October, or is this a a new iteration
Vincent J. O'Neill: already?
Matthew Desch: No. No. No. That is the chip we are talking about. I think a lot of people, unveiled it, it goes commercial here in, I think, three months or so. We have got a big beta program with with partners that is oversubscribed right now. We had too many people even asking us for it right now, so we are excited about the potential for it, but it is the same one we are talking about.
Brent Penter: Gotcha. And what does is there
Greg Mesniaeff: you know, does that flow into equipment revenue? Or is that designed as as sort of a
Brent Penter: fee type business? How how do we look at the revenue on the chipset side? And then
Greg Mesniaeff: how that actually drives the service revenue?
Matthew Desch: Yeah. Yeah. It it does. It eventually will be equipment. You know, these chips do not cost a lot, but, you know, but you could have
Greg Mesniaeff: I said,
Matthew Desch: tens or hundreds or thousands of them down the road, you know, as as we get into more and more consumer-like devices. So but it is not really about the revenue. It is it is what it enables. It is the applications that that could go into. And then that would enable PNT service revenues, which I think we have talked in the past. We are pricing in many different ways on the commercial side. In some ways, we bundled that together multiyear service, with every device perhaps. If someone made a consumer device, wanted to offer it and be able to say it will operate for five or ten years. We could offer something that would not even require a monthly service subscription, for example. Or we could do things as monthly. And and in some cases, are already doing things with monthly service subscription. So that can be offered a lot of ways. It is more about the ASIC enabling applications and service revenue.
Kenneth Levy: Gotcha. And what
Greg Mesniaeff: how long does it take for your end customers to integrate that chipset
Edison Yu: you know, into devices? Is that, like,
Brent Penter: you know, a full product cycle which could take, you know, a year or two, or is it something that could be more easily dropped in?
Greg Mesniaeff: And do you have any customers? I know, like, in the past, you were working with ADTRAN
Vincent J. O'Neill: on the telecom side.
Greg Mesniaeff: Know, do you have any partners that are already looking to design in?
Matthew Desch: No. As I said, the beta program, we have a whole bunch of people who are designing in their their products. So they are they have prototypes now. They have initial runs. They are working to put it in. It would not be, I do not think, multiple years, but it certainly is months if not, you know, up to a year in some cases. I could see the first products coming out using that maybe late later this year, but they are probably more 2027 kinda activities. But yeah. I mean, it is not that hard to integrate. It is really a very small device. Does not take up much real estate or power. And has a very defined input and output that can be quickly put into sort of software and utilized with with applications. So it is it is not a big integration.
Brent Penter: And the, identity management
Greg Mesniaeff: capability, I think it is something you have talked about in the past of, you know, kinda geo locating the satellite with an IP address and and their elements of security.
Edison Yu: What what sort of kicked up the new activity there
Kenneth Levy: Is it, you know, just simply you have had enough time with Satelles under the hood to build that out? Or are there other compelling reasons why you are promoting that service now?
Matthew Desch: Well, you know, the ASIC was a was an impetus to it. You know? A lot of the applications we saw could, if they required, you know, to trust the location, maybe the fact that you could implement this into a smartphone or into a dongle, into a USB key, into something quite small, implemented into a laptop or tablet or something. That was not able to happen before. But we saw a lot of the applications around identity management needing some sort of way for the user, somebody making a wire transfer, somebody proving that they are, that the router is in a certain location and that the data passing through it can be trusted, was something that required, you know, something really low cost to be embedded in it quickly and easily. So I think that was the impetus. And yes, we have had enough time with this to realize that this is this is a potentially really big area. And for which this is a very unique service that would not be able to be offered by others. Would be an area of differentiate for us. And as we are able to exploit it, and our revenue growth is, you know, part of our part of our narrative for the future. So why we are talking about it now.
Greg Mesniaeff: Gotcha. And final
Brent Penter: finally, on the, I mean,
Greg Mesniaeff: increased focus on aviation. I know last year, you had a bunch of terminals that were coming to market.
Brent Penter: Can you kinda give us an update on on where you
Greg Mesniaeff: sit there competitively? And is there anything that can can sort of accelerate the
Vincent J. O'Neill: you know, the upgrade replacement cycle? I do not think there is an equivalent of a an Inmarsat C
Edison Yu: end-of-life date in in aviation, but but perhaps
Kenneth Levy: Yeah. So
Matthew Desch: I alluded to it and you would probably have to we have to go into a little bit more detail about exactly how we think that market could play out. But yeah, we are right now in flight testing, so we have a number of aircraft. There needs to be a certain number of hours with those new Certus and, you know, that is happening now. It was going to take months, quite a few months to do that. But now the avionic suppliers who who have built those solutions can start talking to the Boeings and Airbuses about getting those installed, certainly in 2027 and 2028 into into a lot of vehicles. How to accelerate that? Well, if we could provide more data, more more data through those terminals at lesser expense, we could maybe take traffic back from the terrestrial network. There is a number of things we have ideas to do. I alluded those two in the growth area. We think that we are only getting a very small part of a much bigger market, and we think that we could go after a a bigger part of the market. But I will I will leave that for now. I do not want to get too much, more detail into that because, well, just for competitive reasons.
Kenneth Levy: Hear more. Guys.
Greg Mesniaeff: Thanks, Chris. Thanks, Chris.
Operator: The next question comes from Walter Paul Piecyk of LightShed. Go ahead please.
Matthew Desch: Thanks. Hey, Vince. The PNT order dropped out of Q4, should that
Walter Paul Piecyk: fall into Q1? Or are you still working out to try and get that thing closed?
Vincent J. O'Neill: We are still working through that. Well, our our expectation is that at some point in 2026, but timing still remains still remains up in the air.
Walter Paul Piecyk: Is that is that generally going to be a pretty lumpy line from quarter to quarter as this thing progresses? I know you are optimistic about it overall, but is there just going to be a lot of variability quarter to quarter?
Vincent J. O'Neill: I think you should I think you should expect to see some of that while as we as we go forward here over the next twelve to eighteen months. Especially as we are building out the business. Obviously, we will get to a point of scale where that will be smoother, but but it probably it probably will be lumpy on a quarter-to-quarter basis as we go forward.
Matthew Desch: And it is hard to estimate, Walt. I mean, it is especially when you get, you know, larger opportunities in the pipeline, you know, that I hope it is lumpy positive, but, you know, I would rather not project things out as a sure things until we have an idea where they are going to hit.
Walter Paul Piecyk: Is will there be an element of deferred revenue on these things if they are lumpy? Meaning that, you know well, you know what deferred revenue is. So
Matthew Desch: Yeah. I mean, it could be multiyear opportunities, a lot of these, you know. So we will we will build a backlog, it says, along with
Walter Paul Piecyk: No. No. I did not mean deferred revenue in terms of, like, a multiyear contract. I mean, like,
Walter Paul Piecyk: you know, you you take you take the you take payment up front, and then you book the revenue with noncash from an accounting standpoint.
Vincent J. O'Neill: There might there might be an element of that, Walt, but at this point, I would not expect much.
Matthew Desch: I mean, some of the opportunities we are seeing, as I said, if we if we if we sell something into a consumer device, then we give it a ten-year life cycle, and we take all the cash up front or just roll it into the basic purchase. Yeah. Well,
Walter Paul Piecyk: Yeah. We would
Matthew Desch: you know, do that over time in terms of accounting.
Greg Mesniaeff: Yeah.
Walter Paul Piecyk: Got it. And then there is a lot of a lot of discussion of spectrum on here. I mean, some of the things that were mentioned were were transactions for spectrum that is not in use and is is obviously a lot deeper, 40 megahertz in the case of Legato and 50 megahertz in the case of of EchoStar. I guess the way I will ask the question is this way. I mean, I know you push it. I know that the longevity of your existing constellation has been much longer, and it it just you can squeeze out as much cash out of that as possible. But at some point, if I am remembering correctly, you do have to start to spend on a new constellation. So at what point do you get to the, you know, you have to make a decision one way or another, monetize or start to invest in that constellation. And then secondly, I mean, these other things, again, unencumbered. Cannot just sell spectrum if you have existing users on it. Right? So and how do you communicate that to your customers now that you basically have this conference call that your competitors can use to say, Hey. Iridium Communications Inc. is looking to potentially have a strategic transaction with their spectrum. Are you sure you want to buy services on them, you know, that that are being utilized for your services right now?
Matthew Desch: Well, I mean, they they may be interested in future services that would be provided with that spectrum and and would evolve to the those those new services. You know, we have a very flexible system that can move people around within the spectrum and can make make available a certain amount for other applications. Would not have to do all of it. But the same situation could you you you just described could be said to Viasat right now, which is announced along with Space 42 that they plan to build a network to put spectrum into it to do other services. So if you were existing Viasat or Space 42 customer, you would say, I guess, they are going to build a network that will utilize spectrum for other applications. I think we can do both. You know, we have nine megahertz of spectrum. It is valuable. It is global. It is coordinated all over the world, and there can be opportunities to do multiple things with that. Yeah. Okay. So I covered that for you, Walt. Okay. Anybody else? No. Sorry. Sorry. I was on mute. Sorry about that. There we go.
Walter Paul Piecyk: Yeah. No. That was good. But wait. So when does the the new constellation spend start? Is there any type of estimate on
Kenneth Levy: Yeah. I mean, it it
Matthew Desch: if we are building a spec a a constellation ourselves, we do not need to even start it till 2031. Maybe we would put a little bit of money in 2031 and 2032. I would I would say the spending would ramp up to the 2034–2035 time frame. We necessarily probably need it until the latter half of the decade if all I am doing is existing services, you know, and, you know, these new themes that that I am talking about here, all those things could could be certainly employed all the way until that time, if not beyond.
Walter Paul Piecyk: Got it. So so so bottom line is, think it is something that can be discussed now without any without impact to existing customers and be part of someone, whether it is jointly, separately, your own, a constellation that is planned over the next couple of years. Without disruption to your existing customers.
Operator: Yes. Perfect. Thank you.
Edison Yu: Our next
Operator: question comes from Greg Mesniaeff of Kingswood Capital Partners. Go ahead please.
Vincent J. O'Neill: Thank you. Good morning. Just a very quick question on PNT.
Greg Mesniaeff: As you position it market-wise with your customers, are you finding that most of the customers are augmenting GPS, or is it the GNSS customers that are deciding to augment, you know, particularly the Galileo ones?
Matthew Desch: So commercial customers can get timing, free timing from a number of GNSS sources. It is the customers who are worried about those signals being degraded because they are so faint, if you will, and can easily be overwhelmed. And their applications are so important or in some cases, are inside buildings and it is to get a timing source to, you know, for their digital source. But most of them are critical infrastructure, protecting critical infrastructure, and utilizing it alongside other GNSS sources.
Greg Mesniaeff: Well, I guess if I rephrase the question, is GNSS more robust than GPS?
Walter Paul Piecyk: And
Matthew Desch: quite a customer. GNSS is the generic term for all the different types of, you know, whether it be Galileo. GPS is is sort of the North American version. BeiDou, blocking on. Sorry. Those are all GNSS systems. And so when I use the term GNSS, I am just generically saying they could protect any of those.
Greg Mesniaeff: Got it. Okay. Alright. So, there is really no distinction that GPS is
Walter Paul Piecyk: you know, less robust than some of the other ones you mentioned?
Matthew Desch: No. They are they are all use very, very same kind of power structure to send information from far away, you know, MEO kind of satellites to devices on the ground that have to kinda pick these multiple signals out. And it works very well until it does not, you know, until it is overwhelmed.
Greg Mesniaeff: Sure. Sure. Thank you. Got it. Yeah. Thanks.
Operator: The next question comes from Louie DiPalma of William Blair. Go ahead please.
Edison Yu: Matt, Vincent, and Ken, good morning.
Greg Mesniaeff: Hey, Louie. Hey, Louie. For the
Brent Penter: the new the PNT chip that is in development, what is the next milestone that investors should be watching for?
Greg Mesniaeff: Well, I mean, it is
Matthew Desch: it is prototypes are available. It is in
Walter Paul Piecyk: larger
Matthew Desch: you know, we are we are going to make it commercially available, I think it is June or July. I think it is the right time frame. I do not know about milestones there. I think the real would be our partners or customers who announced that they are implementing products on that. And the applications and the successes they are having deploying that. I think those are the milestones. And I will get those good to hear those announcements this year and certainly next.
Walter Paul Piecyk: Sounds good. And related to
Brent Penter: Tim Horan and Walter's questions, for your
Edison Yu: NTN Direct service, what is the maximum amount of your nine megahertz of spectrum that you could use for NTN Direct given how
Brent Penter: you use your spectrum for your existing network currently.
Matthew Desch: Yeah. I mean, NTN Direct is a narrowband service that uses 100 kilohertz, 200 kilohertz, you know, at most. So it could be positioned within our network any any place. Mean,
Walter Paul Piecyk: over time,
Matthew Desch: you know, we can evolve that service to be able to use utilize all our spectrum if that was the only spectrum we have, but it is so incredibly efficient the way it operates. You know? We can operate millions of customers even with a single or dual channel. So I do not know that that is really, I think a lot of the direction in the future is really about about 5G New Radio. You know, that is really what other people are looking to deploy that uses 3 to 5 megahertz channels. We are not going to implement that service. We are going to augment that service, and the only way, you know, that would kinda happen within our spectrum was in an alliance or or partnership.
Operator: Let us say, you know how
Brent Penter: like, Iridium Communications Inc., you obviously provide, you know, safety services for maritime. As it relates to GMDSS and the aviation sector.
Colin Michael Canfield: Could
Brent Penter: those types of services shift to to NTN Direct or would those services need to stay on like, the existing network?
Matthew Desch: Well, look. It takes a long, long time for either of those services to be applied and approved. It took us ten years to get GMDSS through the bodies. And even when we moved to GMDSS over, was an extensive time to do that. So I am not sure what the value would be to move them to NTN. And if if anyone tried to do that, it would take years to do it. So I I know it would not prove create any advantages for us to do it necessarily to put it on our Iridium NTN Direct. Because that is not really what the service say, for example, on a ship protecting L- Ka-band networks is doing. So but, I mean, theoretically, but it is not practical and it would take many, many years to do.
Brent Penter: Yeah. That was my question in terms of, like, of the nine, like, megahertz of spectrum since
Edison Yu: certain services would seem to need the existing network then like, some portion of those megahertz could not shift.
Operator: Right?
Brent Penter: Or at least in the near term?
Matthew Desch: We are we really do not use much of our spectrum for GMDSS. I mean, it is used as a backup and it is used in in emergencies. It is required to be on the ship, and there are other functions of sort of IoT functions that that those terminals can do, but they are extremely efficient. As is our IoT services and other, you know, actually, the service that takes the most spectrum is is our original broadband connections when service. And that is the area that we are seeing evolve to Starlink and other, terminals, and we have had a little headwind associated with that. But it has actually been good in terms of spectrum utilization and makes the rest of our spectrum more flexible.
Brent Penter: That makes sense. So it seems that like, nearly all of the nine megahertz could be used for NTN Direct
Matthew Desch: Could be, theoretically. No. From a long-term perspective, yeah.
Greg Mesniaeff: Awesome. Thanks. Thanks, everyone. And congrats on the development of the the new PNT chip. Thanks. Thanks, Louie.
Operator: The next question comes from Justin M. Lang of Morgan Stanley. Go ahead please.
Greg Mesniaeff: Hi. Thanks for taking the questions here. Matt, just want to pick back up on your MDA Shield comments earlier. I was curious if you could just touch on how you think the Golden Dome opportunity matures
Walter Paul Piecyk: over this year for you. I mean, do you expect contracts to materialize in in in 2026 here that could present upside to the guide, or is this more of a 2027 and beyond opportunity for you?
Matthew Desch: It is probably more of a 2027 and beyond. Though there there could be engineering service revenue upside this year. Mean, that is one of the things we are certainly see. There are RFQs, if you will, and other areas in which we think our expertise could be applied to both directly to kind of Golden Dome Shield kind of announcements and things around it. That relate to the government and their their use of our expertise and even connecting into our existing network. So I am being a little bit obtuse about that because we do not want to point, you know, exactly where, we think there is, but, you know, when we look at really the opportunities that are addressable to us, it is in the billions of dollars. We are only expecting to get a fraction of that. But it would, we think it could be meaningful in terms of growth to us.
Edison Yu: Okay. Great. That is helpful. And then
Justin M. Lang: maybe, Vince, one for you. Just going back to the the PNT contribution this year. And I appreciate it is a longer-term opportunity, so that could be sort of lumpy in the near term. But for 2026, maybe I will ask it another way. I mean, is it fair to assume that the growth in the PNT business outpaces overall portfolio growth this year?
Vincent J. O'Neill: That is probably that is probably a fair assumption, Justin, at this point. Yeah. I
Justin M. Lang: Okay. Yeah. Okay. Perfect. Thanks.
Operator: Our final question comes from Caleb Henry of Quilty Space. Go ahead please.
Edison Yu: Hi, guys. Just one question for me, and it is on the Shield IDIQ. I think there is something like 151 companies that were awarded
Greg Mesniaeff: access to the IDIQ. If you could share some about what makes Iridium Communications Inc. well positioned to bring in kind of where you see that as an opportunity knowing that not all hundred or fifty-one of those are probably going to get an award or at least a a meaningful one.
Matthew Desch: Yeah. That is right. I mean, we announced that we were part of it. You noticed we did not we did not play that up or anything because it is all up to how much business is is won. Maybe some others have have been a bit more aggressive about, you know, announcing, you know, the potential for it for themselves. But no, I think, look, our experience, you know, we have have a long history of delivering high-quality service to the government. We have almost been considered MILNET, if you will, or whatever you want to call the latest version of it. I guess it is called the Space Data Network in the latest term. We have been kinda connected in that front, providing a unique service for more than 25 years. And and that is respected and understood. In fact, have 130,000 endpoints out there around the world that could connect into, be relevant to, to a Golden Dome or other kinds of related networks that relate to, you know, national security. You know, we are looking at a number of things right now where other networks being built as well that may or may not even be part of Shield are things that we think we could address and provide value. And, you know, really, the the work we were doing with SDA has been highly regarded. I think others have come to us and said, based upon what we are doing building out the ground infrastructure, the operation centers, the operation software, the actually manning and flying satellites. The success we are having here, maybe we could be working on some other networks that the government has. Both that are directly related or ancillary to Shield. So, anyway, I know that is a a broad statement. I wish I could get into more details about sort of the opportunities and pipeline we are specifically looking at, but I I do not, I think that is kinda premature right now.
Brent Penter: No. That is useful. Thanks.
Edison Yu: Okay. Thanks, Caleb.
Operator: This concludes our question and answer session. I would like to turn the conference back over to management for any closing remarks.
Matthew Desch: Yeah. I appreciate you hanging in this long. I appreciate all the interest and questions. Clearly, we are writing a new story here, in some ways, so I hope my comments about, you know, the avenues of growth we see kind of are are helpful to you, and we will certainly talk a lot more about those in the future. So look forward to continuing our dialogue with with the industry. So thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.